Operator: Good afternoon and welcome to our conference call for the quarter and fiscal year ended March 31, 2022. I'm Sue Miller, Senior Accountant at NVE. This call is being webcast live and being recorded. Our replay will be available through our website, nve.com. We issued our press release with Fourth Quarter and fiscal year results, and filed our annual report on Form 10-K in the past hour following the close of markets. On today's call, our President and CEO, Daniel Baker, and our CFO, Joe Schmitz. After Dan's opening comments, Joe will cover financial results for the quarter and fiscal year. Dan will cover the business and new products and then we'll open the call to questions. All lines will be muted until we open the call to questions.  Comments we may make that relate to future plans, events, financial results, or performance are forward-looking statements that are subject to certain risks and uncertainties, including among others, such factors as risks and uncertainties related to future sales and revenue, uncertainties related to future stock repurchases and dividend payments. our dependence on critical suppliers and packaging vendors, risks related to COVID-19 pandemic, and supply chain disruptions, as well as the risk factors listed from time-to-time in our filings with SEC, including our first file 10-K links to the documents we filed this afternoon are available to the SEC's website, our website, and our Twitter timeline. Actual results could differ materially from the information provided and we undertake no obligation to update forward-looking statements we may make. Now, I'll turn the call over to Dan Baker, our President and CEO.
Daniel A. Baker: What's going on with this people? Thank Sue. We're pleased to report a 22% increase in net income for the fourth quarter to $0.79 per diluted share, driven by a 15% revenue of increase. For the full fiscal year, net income increased 24% to $3 per share driven by 26% revenue increase. The strong growth was despite continuing supply chain disruptions. Joe will cover the details. Joe.
Joseph R. Schmitz: Thank you. Total revenue for the most recent quarter increased 15% to $6.75 million, 0.8 in the prior before.
Operator: I'm not hearing.
Joseph R. Schmitz: All presenting. Potentially several quarter. And isn't shortages path rev, incentive, both opportunities and threats. We've seen new sales opportunities because many of our competitors have longer lead times than us. On the other hand, shortages have impacted our production capacity. We've been quoting 12 to 20 week lead times for most parts as longer than before the pandemic. But according to the April monthly market update by one of our distributors, the lead time for parts from one of our traditional semiconductor competitors is 52 to 90 weeks or above. That's portion from 15 to 90 weeks or above annual and report. We've addressed the threats posed by the strategies by increasing work in progress inventory. We invested in additional production and test equipment, and we expanded our production space. We have invested in tooling and materials, alternate packaging vendors, and we have invested in tooling for onshore foundry wafers. Gross margin was 77% compared to 78% last year. Like most companies in the semiconductors industry, many of our costs increased significantly in the past year, including foundry wafers, chemicals, packaging costs, and labor.  In response to increased costs, we just continued [Indiscernible] discounting and increased prices in the past year. We believe that the impact of the COVID-19 pandemic on customer demand was significantly less in the most recent quarter and fiscal year when compared to the prior year. We believe the impact in the pandemic on our supply chain, however, was significantly more in the recent quarter end year than the prior period. Expenses for the quarter decreased 2% from the prior year. Due to the 15% decrease in SG&A expenses, partially offset by a 4% increase in R&D expense. Decrease in SG&A for the quarter was due to staffing changes. Interest income for the fourth quarter of fiscal '22 decreased 9% due to a decrease in our available for sale securities, and a decrease in the average interest rates on those securities. As income for the fourth quarter of fiscal '22 increased 22% to $3.82 million or $0.79 per diluted share compared to a $3.13 million or 65% per share for the prior year quarter. For the fiscal year, total revenue increased 26% to $27 million from $21.4 million in the prior year. Product sales increased 26% and R&D and contract revenue increased 36%. Net income for the year increased 24% from the prior year period to $14.5 million or $3 per diluted share, an increase from $11.7 million or $2 per share for fiscal 2021.  Our profiting metrics continue to be strong. Gross margin was 77%, operating margin 61%, pre -tax margin was 55%, and net margin was 54%. Capital expenditures were $485 thousand in fiscal year, the most since fiscal 2018. Also, that was for the deployment of to test handlers to increase our production test capacity and alleviate potential bottlenecks. We repurposed part of the building to make room for the new equipment. Equipment lead times chance stretched out considerably recently and a new equipment purchase this year as a result of procurement efforts started a year-ago or more. We believe our stock as a good investment and we took advantage of buying opportunities in the quarter we repurchased $154 thousand of our stock. With $4.83 million dividend payment in the quarter, we returned a total of $5 million to shareholders. In addition to the past quarters is $1 per share dividend, today we announced that our board declared another quarterly dividend of $1 per share payable May 31 to shareholders of record as of May 16th. Now I'll turn the call back to Dan to cover the business, products, and marketing.
Daniel A. Baker: Thanks, Joe. Business conditions remain challenging according to the commerce department, the semiconductor supply chain is very fragile, which is certainly what we're seeing. Some semiconductor insiders have said global semiconductor shortages could last into 2024, disposes both medium-term opportunities and threats, as Joe said. We took advantage of some of the opportunities by winning business because we have shorter lead times than traditional semiconductors. And we can keep that business by demonstrating we're a reliable supplier with excellent product performance in quality. I'd like to recognize our Ukrainian distributor [Indiscernible] Micro Components, which is based in Kyiv and has represented us for more than 15 years. It's not significant business from a financial perspective, but it is inspirational. The principal continue to represent us even in the immediate aftermath of the invasion despite hardships, we can't even imagine. FedEx can't deliver to keep, but we're doing our best and doing all we can to get them parts. We wish them the best. And they've helped inspire us to do our damn, just over overcome supply chain shortages.  In-person trade shows and conferences are returning, last month one of our Japanese distributors, K.K.Rocky, exhibited at the embedded in Edge computing Expo in Tokyo, which is build as Japan's largest information technology trade show. The booth included several live demonstrations of NVE products. There links to images and videos from the show on our website, as well as our YouTube, Twitter, and Linkedin social media sites. Will be represented by distributors at two major trade shows in Germany later this month. The two shows are PCIM Europe and sensor plus test boat shows reach important target markets for us. PCIM is built as the world's leading exit exhibition and conference for power electronics, intelligent motion, renewable energy and energy management. Sensor plus tests, claims to be the world's leading form for sensor measurement and testing, technology. Capping off the tradeshow season will exhibit at sensors converge in San Jose next month, which showcases the latest sensing technologies. The show is back to its traditional early summer schedule for the first time since June 2019. We'll be demonstrating several new products and we'll have a new mechatronic demonstration using a musical pitch pipe based on one of our smart sensors. Demonstrating our sensors with musical instrument robots has been effective and attracting attention and demonstrating the precision, robustness, and simplicity of our sensors. We're proud to supply products to some of the world's most demanding customer, Customers including Abbott's Pacesetter subsidiary. Abbott is a leading supplier of implantable medical devices. In the past quarter, we executed an extension to our supplier partnering agreement with Abbott. The extension runs through the end of 2022 and includes price increases to help offset our cost increases. The latest amendment was filed on a current report on Form 8-K and incorporated by referenced in our just filed 10-K. It is also available via our website or the SEC's website. Another example of the extraordinary reliability of our parts is our selection for the Europa Clipper mission. We were notified in the past quarter that NASA has started integrating the spacecraft.  One of our NASA contacts reminded us that NASA provided research grants to NVE, starting in 1990 to help us develop spintronic products and now they are being used for a NASA Level 1 mission. Meaning they are required for successful completion of the missions objectives, which is one of the most demanding applications there is. The mission will conduct reconnaissance of Jupiter's moon Europa, and investigate whether it could have conditions suitable for life. The launch is targeted for October 2024 to arrive at Europa in 2030. Turning to new products, we introduced two new products in the past quarter. A new current sensor, and a high sensitivity, Smart Magnetometer. Pete Eames, our Vice President of Advanced Technology discussed plans for these products on our January call. And he and his team enabled these product launches on schedule. Current sensors can be used to operate electric motors more efficiently, and motors represent around 50% of worldwide electricity consumption. The new ACT011 is Tunneling Magnetoresistance current sensor that can measure lower currents and lower voltages.  Then common semiconductor sensors allowing control of more motor types and sizes. It also fits in tight spaces and it's less than a tenth of an inch square. There's a demonstration video on our website and YouTube channel. The high sensitivity TMR Smart Magnetometers is the a smart version of our most sensitive sensor ever which we discussed on our last call. Magnetometers measure magnetic fields and can be used for position or current sensing. The high sensitivity of the new part allows more precise position control for a more effective robotics or a more precise current measurement for more efficient motors. Smart senors, are a central element of our Internet of Things strategy because they have smart network interfaces that allow many sensors to be connected easily for advanced adaptive factories with ubiquitous sensors. We demonstrated the new Smart Magnetometer controlling mechatronic Monica player on our website and YouTube channel. Despite challenges posed by shortages and long lead times, fiscal 2022 was a productive year for product development. In addition to the to new sensors I just discussed, we introduced several other new products in the past year.  Our most sensitive magnetic sensor forever, the world's first TMR Gear, two sensors with resolutions in the thousands of a degree for ultra precise motor control and robotics. Ultra-low power magnetic switches for medical devices and hearables. And more parts that transmit power as well as data. In addition to new products, business highlights for the past year include; we made significant investments to increase capacity and diversify our supply chain. We maintained an aggressive dividend and repurchase some of our stock. We extended our supplier partnering agreement with Abbott. We resumed in-person trade shows, which we view as an investment to facilitates, future sales. We completed a spruce up of our building with more production space, and a more pleasant and efficient work environment. The cost of the improvements was mostly covered by a build-out allowance as part of our 2020 lease renewal. And finally, we welcome Joe Schmitz as our CFO. And Jim Breakey to our Board of Directors. We're fortunate to have extremely dedicated employees. We make things, so working from home isn't an option.  Our employees have work through the personal challenges of the pandemic, industry shortages, and supply chain problems. So I look forward to thanking them in person tomorrow at our first in-person employee meeting in more than two years. We're planning a barbecue to welcome spring here in Minnesota, and to celebrate the foundation we built for a bright future. Now I'd like to open the call for questions. [Operator Instructions] Are there any questions?
Q - Jeffrey Bernstein: Hey, Dan, it's Jeff Bernstein from Cowen.
Daniel A. Baker : Hi, Jeff.
Jeffrey Bernstein: How are you?
Daniel A. Baker : Good. How are you?
Jeffrey Bernstein: I'm good. I'm Well. So I had a bunch of questions. We've talked about some sizable markets that you guys have the potential to penetrate. And just like to kind of get an update on where you stand. We've talked about isolators for hybrid high voltage and low-voltage systems, including EVs, but increasing applications with electrification of all kinds of things. What kind of traction are you getting there?
Daniel A. Baker : So we are getting a lot of traction, particularly in our isolators -- our new isolators that convert power as well as transmit data. Those are being used for smart grids and for power supplies. We've got some additional part types that we've introduced in the past year that I mentioned in the prepared remarks, and we've got some more that we're working on that we hope to introduce in the coming quarter in the year. So it's opening up a new market segments for us for power control, smart grids. And right now, the parts are relatively new. So the revenue contribution is modest, but we see that as having excellent growth potential.
Jeffrey Bernstein: That's great. And then we talked about in the quarter, the potential for replacing milli and micro ohm resistors in current sensing applications for very low voltage systems. And that sounds like it's actually a huge market. Can you give any kind of background on that? and how you might penetrate that?
Daniel A. Baker : Yes. So that's a great question. Sub milliohm resistors for the general audience are used for current sensing and lower the resistance, the lower the losses. But they still have resistance, which means that they waste energy in order to measure energy. So the whole idea of current sensing is to make motors and the other current consuming devices more efficient and wasting the power to measure the current is, of course, counterproductive. So we see this as a great opportunity. We make non-contact current sensors which avoid the problems of temperature variation, self heating losses in noise that you have with those resistors sensing elements, they have no resistance, and they are much easier to use, and they are inherently isolated. If you put a resistor into socket and it's hooked up the line voltage it's still hooked up to line voltage.  So you can't hook up computers and things like that to that it would be dangerous. And our new device that I talked about. We'll actually isolate the signal so that you can safely hook it up to line voltage on one side and then hook it up to a computer or control system on the other side. And in fact, we demonstrated that on YouTube video with a tester that we got from a hardware store showing that we've got dangerous line voltage on the input of the sensors, but everything is perfectly safe in the output of the sensor, and you can't do that with sub milliohm resistors. If you put unsafe voltages on them, the output is on safe. If we have significant advantages, we see it as an excellent market opportunity.
Jeffrey Bernstein: Any idea, order of magnitude, the size of that market.
Daniel A. Baker : Yeah. That's hard to say. I don't think we have numbers that we'd be able to quote with any reliability. Current sensing is a very large market, this is a subset of that market. But we see current sensing as a very fast growing market as more and more energy mandates kick in, and more efficient appliances and motors are being mandated, and higher electrical efficiency standards are being implemented. So it's a market that's got a great deal of potential, and as you could tell from your research on some of the alternatives -- conventional alternatives such as sub-milliohm resistors, companies are seeing this opportunity. And we think with our technology, we have a unique benefit proposition that can't be matched with other technologies -- conventional technologies.
Jeffrey Bernstein: That's great. Can you talk a little bit about MOSFETs drivers for GaN and silicon carbide MOSFETs. That market seems to continue to grow and get more traction.
Daniel A. Baker : That's another important market for us. A lot of those are used for motor control. And the challenge there is to switch those MOSFETs as quickly as possible. The faster you can switch them, the lower the losses are. And our isolators can drive those types of MOSFETs, either directly or with another driver, and do it faster and therefore more efficiently than conventional alternatives to drive the MOSFETs. So we provide a bridge between the control system or a link between the control systems and the MOSFETs themselves that are actually controlling the high power. And we can enable more efficient control of those types of motors. They're also used for battery chargers, they're used for the systems, the onboard charging in electric vehicles.  As we talked about on previous calls, we are on a platform called BeFAST in cooperation with one of our distributors that uses next-generation. MOSFET is also on that platform, and they use our isolators, our couplers -- data couplers to drive those MOSFETs faster than would otherwise be possible while continuing to provide electrical isolation, which is essential for that type of high voltage control. So we see that as another excellent market in the Internet of things -- the industrial Internet of things, to yield more efficiency and power conversion.
Jeffrey Bernstein: And were you referring that disaster the extent and sister onboard charger design?
Daniel A. Baker : Exactly. So they're trade name for that is BeFAST.
Jeffrey Bernstein: Got you. Okay. And then I know this has become so drawn out the over-the-counter hearing aid issue that now they want to put out a law to make sure that the FDA follows the existing laws and puts out regulations on over the counter hearing aids. Do you see growth there regardless of what happens here with these regulations ever coming out, or is that an important catalyst for you that's being delayed or how do we think about the hearing aid and hearables market?
Daniel A. Baker : Yes. As you point out, it's been difficult to predict when over-the-counter hearing aids will be will be formally approved, but it seems inevitable. We're prepared for that and we've been working with our customers to make sure that we have components that are well-suited to the over-the-counter market. And then we're also looking at the broader market in the year audio devices, so-called hearables. That's estimated to become a $93 billion market by 2026, growing very quickly. So the broader market of hearables, that's ongoing regardless of the FDA regulation of over-the-counter hearing aids. So a lot of the things that we've developed for over-the-counter hearing aids are also applicable to the broader hearables market.  As you may recall, we've begun offerings sensors that are compatible with the rechargeable batteries that are often used in consumer wearables rather than disposable batteries, which are generally used in traditional hearing aids. So we have design wins in that space, that's for the consumer wearables that are in the ear. And our new parts have received very positive feedback. So we see it as an excellent market. We're watching closely what the FDA will do, but we think that we're well-positioned for the broader market, whatever happens with the over-the-counter hearing aid market.
Joseph R. Schmitz : [Indiscernible]?
Jeffrey Bernstein: I wanted to ask about the R&D, which looks like it's rebounded. It had been sub 700 thousand a quarter for a couple of quarters and had been higher earlier. What's going on there exactly.
Joseph R. Schmitz : This is Joe, and this quarter you saw ramp up of spending for chemicals and supplies related to current and future business. So I think why we're not setting a target at it, I think it's a reflection of the activity we have going on in our R&D team.
Jeffrey Bernstein: Okay. And then the tax rate was only 13% this quarter. Schmitz you've just talk about what's the kind of normalized tax rate here?
Joseph R. Schmitz : Yeah, I think the tax rates is down a little bit. I think that's to impact some of our tax breaks to get for foreign sales. I think that was probably the biggest driver, we had a little bit of a change in mixing some of our business a little bit more foreign income -- foreign source income than we've seen in prior quarters.
Jeffrey Bernstein: Okay. Great. Thanks very much for the time, guys. I'll let somebody else to ask some questions.
Daniel A. Baker: Thanks, Jeff. Are there any other questions? Yes. Go ahead, please.
Thomas Cochran: Tom Cochran of Lake Road Partners.
Daniel A. Baker : Hey Tom.
Thomas Cochran: Hey. And congratulations on a good report.
Daniel A. Baker : We were very pleased.
Thomas Cochran: Yes, I should think. Over the past year, so Dan, you have mentioned a couple of times if you were hoping to penetrate the automotive market, how is that doing?
Daniel A. Baker : We have been making some good headway, particularly in the automotive market, particularly in hybrid electric vehicles. So I mentioned the onboard charging system where we are part of a reference design. So that system can be used onboard charging, meaning it's converting the electricity, if you plug in hybrid electric vehicle to a low outlet or charger, that voltage has to be converted from high-voltage to low-voltage and charge the battery. And so that gets into the MOSFETs drivers, the advanced GaN and silicon carbide MOSFETs drivers that we talked about. So that's one area our sensor technology is being investigated in several automotive applicant. for rotational or a position sensing. Finally, our data couplers are used to transmit information between modules in a car, and we have some activity in those areas.  So the challenge, particularly in hybrid electric vehicles, is that the voltages can be several hundred volts. And of course you can't hook up that kind of voltage directly to controller, the data needs to be isolated. Our isolators allow the transmission of data without a direct electrical connection, which is important in high-voltage systems such as hybrid electric vehicles. So we see that as a, is not a real near-term market, but there are some promising activities going on there, and particularly with the rise of hybrid electric vehicles and autonomous vehicles, we see excellent opportunities there for sensors and couplers.
Thomas Cochran: Thank you, Dan.
Daniel A. Baker : Thank you, Tom. So, are there any other questions? Well, if not, I'll wrap up and we were pleased to report a 24% increase in earnings for the fiscal year driven by 26% increase in product sales. We look forward to speaking with you again in July. The discuss results for the first quarter of fiscal 2023. Thank you all for participating in the call and you may all disconnect.